Operator: Greetings and welcome to the Myers Industries First Quarter 2015 Earnings Call. At this time all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder this conference is being recorded. I would now like to turn the conference over to your host, Monica Vinay. Thank you. Please go ahead.
Monica Vinay: Thank you. Good morning, welcome to the Myers Industries' first quarter 2015 earnings conference call. I’m Monica Vinay, the Vice President of Investor Relations and Treasurer at Myers Industries. Joining me today are John Orr, President and Chief Executive Officer; Gregg Branning, Senior Vice President, Chief Financial Officer and Corporate Secretary; Joel Grant, Senior Vice President and General Manager, Material Handling Segment; Alex Williamson, Vice President and General Manager of the Distributions Segment; and Mike Valentino, Vice President and General Manager of Myers do Brasil, Novel, Scepter and Ameri-Kart. Earlier this morning we issued a news release outlining the financial results for the first quarter of 2015. If you have not yet received a copy of the release, you can access it on our website at www.myersindustries.com, under the Investor Relations tab. This call is also being webcast on our website and will be archived there along with a transcript of the call shortly after this event. Before I turn the call over to management for remarks, I would like to remind you that we may make some forward-looking statements during the course of this call. These comments are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Such statements are based on management's current expectations and involve risks, uncertainties and other factors which may cause results to differ materially from those expressed or implied in these statements. Further information concerning these risks, uncertainties and other factors is set forth in the company's periodic SEC filings and may be found in the company's 10-K filings. I am now pleased to turn the call over to John Orr, Chief Executive Officer. John?
John Orr: Thank you, and good morning. Before we review the financial results for the first quarter of 2015, we like to offer a little more clarity and closure to the recent investigation of our Brazilian operations that resulted in adjustments to our year end financial results. Just prior to filing our Form 10-K, we became aware of possible mistakes in the accounting for inventory at our Brazilian operations. Gregg Branning, his team and outside advisors performed a through investigation of the matter at the end of March 2015. Specifically, the investigation uncovered deficiencies in the design and operating effectiveness of the company's internal control over financial reporting in Brazil that resulted in a revision to our financial results for the fourth quarter and full year of 2014. Now I would like to turn the call over to Gregg Branning, our Chief Financial Officer to review those adjustments and to outline the steps we’ve already taken to address the underlying causes of the process deficiencies. Gregg?
Gregg Branning: Thanks, John. The revision to our financial results as John mentioned originated from an internal email that our management team received indicting that there might be an air in our Brazilian operation's year end financial statement internal subsidiary. As a result, a thorough investigation of all of our Brazilian entities financial results was conducted by our forensic investigators, legal and internal audit team. The investigation determined that entries were made by individuals that knew or should have known they were incorrect. The investigation also concluded that the accounting issues were contained in Brazil. The investigation was completed prior to the company issuing its Form 10-K and resulting adjustments were fully encountered for in our 2014 Form 10-K financial statements. Revision reflected increases in both the sales and selling, general and administrative expenses and resulted in a reduction of both the fourth quarter and the full year of 2014 and income from continuing operations of $2.5 million. Net income from continuing operations of $2.3 million and earnings per diluted share from continuing operations of $0.07. These adjustments were included in the Form 10-K filed by the company on March 31, 2015 which was considered by the SEC to the time of filing. We have outlined and are taking steps to remediate the control deficiencies at our Brazilian operations that were uncovered during the investigation and the pertained solely to Brazil. Please turn to Slide 3 of the presentation so I can outline with those enhancements and sales. First here in the process of revising Brazil’s execution of the company policies and procedures associated with the preparation and retention of supporting documentation for account reconciliations. Next we are revising Brazil’s execution of the company's policies and procedures associated with the review and approval of manual journal entries prior to posting to the general ledger and are implementing additional controls to enhance monitoring and over type of financial function at our Brazilian operations. However our process is included enhancements to our finance personnel with accounting and internal control knowledge. We plan to remediate all of the controlled efficiencies during 2015 and will continue to monitor the effectiveness of all of our processes, procedures and controls at our Brazilian operations and will make further changes that we determine are necessary. This event was unfortunate but our team reacted quickly and we fairly learned from the experience and we believe the situation is fully behind us. I will now turn the call back over to John to begin reviewing our financial results for the first quarter of 2015. John?
John Orr: Thanks Gregg. Please turn to Slide 4 of the presentation to begin the review of our first quarter results. Net sales from continuing operations in the first quarter of 2015 increased 3.9% to $156.3 million compared to $150.5 in the first quarter of 2014. Incremental sales were primarily the result of strong performance from our Scepter business, which performed ahead of our expectations on both the topline and operating income in spite of unfavorable impacts from foreign currency translations. Scepter saw a strong demand for its fuel containers during the first quarter. We’re confident that through new product introductions like trigger control, invented high flow gas cans and cross-selling initiatives in both the marine and distribution end markets, Scepter will continue to generate incremental sales and profit for the company. Those of you who follow agricultural end markets are well aware that weakness in some commodities pricing has created headwinds for capital spending in the industry and as a result, our Material Handling segment saw a year-over-year decline in sales of agricultural and food processing products. According to the USDA's 2015 outlook, U.S. farmers will plant less corn and soybeans in 2015 and the average price of each will be down as compared to last year. The lower planting and prices will likely continue to depress demand for our agricultural storage containers. We're bringing back some legacy products to reduce the impact of the lower manufacturing throughput resulting from decreased production of those agricultural products due to the weak end market. Gross profit margin from continuing operations was 29.3% in the first quarter of 2015 compared to 28% in the first quarter of 2014. The increase in gross margin compared to the first quarter of last year is primarily the result of pricing actions that company executed during the last two quarters and the incremental contribution from Scepter as well as ongoing operational cost reduction activities. One of the primary reasons, we strategically repositioned the business last year through our divestitures in the acquisition of Scepter was to improve our go forward margin and profitability profile. Therefore we’re very pleased to be seeing strong early signs that validate our expectation that Scepter's contributions will generate long-term value as well as new growth opportunities for our company. Reported income from continuing operations for the first quarter was $2.6 million or $0.08 per diluted share compared to $4.8 million or $0.14 per diluted share in the first quarter of 2014. On an adjusted basis, which excludes restructuring cost and other special items, our earnings per diluted share from continuing operations in the first quarter of 2015 were $0.13 compared to $0.15 in the first quarter of 2014. The year-over-year decline was primarily the result of increased interest expense. I’d now like to turn the call back over to Gregg who will provide you with further details regarding our results. Gregg?
Gregg Branning: Thanks John. Please stay on Slide 4 of the presentation and I’ll review those income statement items that John didn't already cover. Selling, general and administrative expenses from continuing operations in the first quarter of 2015 were $39 million compared to $33.2 million in the first quarter of 2014. The incremental expense was due to Scepter and restructuring and other unusual pretax charges which were partially offset by decreases in salaries and employee related expenses and selling expenses including freight. Our effective tax rate for the quarter for continuing operations was 34.7%. We anticipate that the effective tax rate for continuing operations for the full year 2015 will be approximately 32.5% as we see a shift to more international earnings with the full year of Scepter in our results. Now please turn to Slide 5 of the presentation. Cash flow used for continuing operations for the three months ended March 31, 2015 was $20.5 million compared to cash flow used for continuing operations of $40.1 million for the same period in 2014. Customers requested to use cash in the first quarter to fund the seasonal build in working capital and then generate cash flow for the full year. Cash flow used for continuing operations decreased compared to the three months ended March 31, 2015 as result of lower working capital. Capital expenditures for continuing operations totaled $4.7 million for the three months ended March 31, 2015 and we estimate that capital expenditures for continuing operations in 2015 will be approximately $25 million to $30 million and approximately 70% will be for growth of productivity projects. With respect to capital returning to shareholders, during the first quarter of 2015, we repurchased 370,200 shares of our common stock at an average price of $17.78 and a total cost of $6.6 million. We also increased our dividend by 4% to $0.135 per share which at today’s prices represent an annual yield of approximately 3%. These actions underlying are unwavering commitment to returning value to shareholders through our balanced approach to capital allocation. Long-term debt at March 31, 2015 decreased to $204.7 million compared to $236.4 million at December 31, 2014 and our debt-to-EBITDA ratio at March 31, 2015 was 2.35. Now let’s turn to our business segments and their performance is summarized on Slide 6 and 7 of the presentation. Results are compared to the same period in 2014 and I’ll be referencing the adjusted pretax income information by segments as it appears on the reconciliation of non-GAAP financial measures including the appendix of the slide presentation and the earnings release issued earlier today. In the Material Handling segment, net sales for the first quarter of 2015 increased 5.3% to $112.3 million compared to $106.7 million in the first quarter of 2014. Incremental sales from Scepter were partially offset by sales declines versus the first quarter of 2014 in the agricultural end market as low corn prices and reduced demand for agricultural machinery, depressed sales of the segment’s agricultural storage boxes. Additionally, orders decreased in the food processing end markets compared to the first quarter of last year as a result of their recently acquired major customer we are spending orders of segment’s liquid storage containers. That customer had ordered and we shipped the significant amount of liquid boxes in the first quarter of 2014. Adjusted income before taxes in Material Handling segment was $13.5 million for the first quarter of 2015 compared to $12.8 million in the first quarter of 2014, although adjusted income before taxes increased year-over-year due to the contribution from Scepter, it was adversely impacted by the decreased sales of agricultural and food processing products as end of resulting change in product mix. We were able to partially offset the impacts of the change in product mix through pricing actions and ongoing reductions in labor hours, overhead cost, and selling, general, and administrative expenses. Net sales in the Distribution segment were $44.1 million in the first quarter of 2015 compared to $43.9 million in the first quarter of 2014. Year-over-year increases in the sales of supplies and equipment in the U.S were somewhat offset by lower Canadian sales during the quarter due to segment’s previously announced closure of the Canadian branches which took place late in the first quarter of 2014. Adjusted income before taxes in the Distribution segment was $3.6 million in the first quarter of 2015 compared to $4.1 million in the first quarter of 2014. Savings realized from operational excellence initiatives including increased global sourcing were more than offset by the decline in profits have resulted from a change in product mix as compared to the first quarter of 2014. That concludes the financial review. I’ll now turn the call back over to John for some summary and outlook remarks. Thank you. John?
John Orr: Please turn to Slide 8 of the presentation, although the second quarter of 2015 will most likely continue to be impacted by weakness in our agricultural end markets, results for both the second quarter and the full year of 2015 will continue to see the benefits of the strategic actions we took in 2014 to focus and solidify our structure. We believe the actions we have taken over the course of the past year to focus our operating segments was the best way to position the company for future growth, long term shareholder value. Our Material Handling and distribution platforms are strong cash generating businesses with attractive prospects for continued new product introductions, additional synergies at Scepter, growth in the marine platform and growth driven by enhanced marketing activities. That concludes management's presentation. I would like to turn it back over to Monica, so that we can take your questions.
Monica Vinay: Thank you, John. The operator will now direct the Q&A phase of the presentation. In the interest of time, we are shifting our Q&A approach to be more inline with our other public companies who are on their earnings calls, and we’ll only be taking questions from our covering sales side analyst at this time. For those investors who have follow-up questions, please contact me following this call at the right coordinated time to talk further with the management team. Also as a reminder, in addition to John and Gregg the following segment Vice Presidents are also available to answer questions. Joel Grant, Senior Vice President and General Manager, Material Handling Segment; Mike Valentino, Vice President and General Manager of Myers do Brasil, Novel, Scepter and Ameri-Kart; and Alex Williamson, Vice President and General Manager, Distribution Segment. Go ahead, Brenda.
Operator: [Operator Instructions] Our first question comes from the line of Adam Josephson with Keybanc. Please go ahead with your questions.
Adam Josephson: Thanks. Good morning John, Gregg, hope you're well? Couples of questions for Gregg and then one for John. Gregg, in terms of resin, can you quantify what if any benefit you received from the like pass through of lower resin in the quarter?
Gregg Branning: Yes, Adam, most of our – a lot of our resin – a lot of our pricing is on indexed with resin. So while it did give us somewhat of a benefit, we also – those items that are not set up within index, we price those currently based on real time market information, as well as more importantly we value sell our products. So, I would say that it had a slight impact just like it, we typically see with resin, when it goes up or down we see a very slight impact in the quarter but as a whole, it doesn’t typically have a major impact as we move our prices up and down.
Adam Josephson: Okay. One on the large food processing customer, can you talk about the suspension of orders, I think Gregg you mentioned that customer order many boxes in the first quarter of last year but I'm still not quite sure what's gone on there, is this a temporary or permanent situation?
Joel Grant: This is Joel Grant. The customer involved - they have been in the midst of about six or seven year long conversion. Just recently did new ownership, and I think the ownership is trying to hit their hands around how cost and capital are being controlled. So they did put it on pause for the early part of this year after doing a pretty big first quarter of last year. But the industry and the end users in that marketplace still like a plastic package, so we are encouraged by the longer term view.
Gregg Branning: And I would also add, Adam this is Gregg again, that we had not lost any share. As Joel said, it's simply a pause where they are looking at how they are going to spend their money but no share losses has happened there.
Adam Josephson: Okay. Gregg, forgive me if you mentioned this, I didn’t hear, but what was your leverage ratio at quarter end and how is that compared to your target ratio.
Gregg Branning: So we ended the quarter at 2.35, ideally what we – as we look backwards and also look forward, we would like to get our leverage ratio below 2, and keep it below 2 on a long term basis. Obviously, we made good progress and we will continue to make good progress on bringing that down.
Adam Josephson: Great, thanks. And John, just one is for you on capital allocation. Can you discuss your capital allocation strategy at this point and do you plan to allocate capital any differently than you have in years past.
John Orr: Adam this is John. We don’t have any plans to change that. We’re using the board approved capital allocation strategy which is utilization of capital for potential – definitely say this, I'll go back to what I always say which is, it’s a balanced approach to capital allocation and we’re going to continue to pay down debt and return cash to shareholders and we also think that if there is a the right kind of bolt-on acquisition that makes sense, it passes our financial screens and our operational screens, we will certainly take a look on that based on what we think the success we've had with Scepter, if we can add that to either of our continued operating segments we would take a look at that. But right now, it's continues to be the same as we have always done which is that balanced approached capital allocation.
Adam Josephson: And just one follow-up to that. Would you pursue an acquisition even if it precluded you from getting back to that two times in the short term?
John Orr: I think the answer to that would be, we would have to review it and we would have to make sure that the Board was comfortable with that again based upon the financial screens and operation screens that we would Adam to be sure that have made sense. We are looking to ultimately grow the business, grow it in the two segments that we think are at the best chance for higher profitability and so if something came along that made some sense, we will certainly ask for the Board's approval based upon how the financial screens and operational screens come out on.
Adam Josephson: Thanks a lot John. Appreciate it.
John Orr: Thank you.
Operator: Our next question comes from the line of Chris Manuel with Wells Fargo. Please go ahead with your questions.
Chris Manuel: Good morning, gentlemen. A few question for you, first I could start with distribution side, it sounds like to me, some of the pieces there are going to be, you’re anticipating them to be down for a bit meaning more than a few quarters maybe for a year perhaps related to Ag and some of the components. I think there was also some reference of bringing some products back or some other things that you had millions of past to turn out back to open business. Can you maybe give us a sense as to A, what you’re bringing back types of products location, what you're doing. And then B, how much of the portfolio does this represents and presumably if you bring new products on and other thing, you shipped the old business out for reasons because I'm guessing there is little bit margin. Can you maybe talk a little bit about what that does to your profitability on a go-forward basis and how you like things about type of new products and to replace again?
John Orr: This is John. I think we'll let Joel Grant talk about that because that’s really where the legacy products are, so Joel.
Joel Grant: Good morning. Material Handling serve a wide variety of markets and customer and have free flow of product line. So we are looking in the legacy products some of the products that support manufacturing, automotive, distribution and retooling and redesigning some of those products so that we can bring those out and have the kind of margins that we like, automotive and manufacturing can be little more competitive but we will use those items to keep up [transport] [ph] while we work our way through this agricultural environment.
Chris Manuel: Do you have sense – is it, we are anticipating the Ag markets are off 30% and that’s X percent of our portfolio, so we're now shifting and I'm making up numbers here 5% to 10% of our business back into some other markets. How we would think about that number one, and then number two, is the assumption right, this is obviously different business because you kind of moved away from it and going back to what would carry a bit lower margin return?
John Orr: This is John, Chris. I think the situation is - obviously our agricultural end market has been a big part of our business of our Material Handling business over the years. We are not sure exactly what that percent would be, but bringing back the legacy products we would hope to at least be close to offsetting that loss of business. Now, you’re correct in that probably the margins would be lower as some of that offset business would be in perhaps automotive and distribution segments which generally tend to be lower than what - in what we see in our Ag and our liquid container markets. So it’s really about keeping our facilities operating efficiently and by being able to bring business back into those plans, it certainly offsets the cost until we can hopefully get through this - the short downturn in the Ag side of the business.
Gregg Branning: And Chris, this is Gregg. I would also add that the Material Handling team is looking at these. We talked about re-launching these legacy products. In doing so, Joel touched on it but it might not be as obvious for people that aren't part of the business, but we’re actually making some changes to our malls which will take wait out and therefore take cost out and looking to use recycled resin and alternative resin is much as possible to also hope which would help the margins. But, you’re right, the margins certainly aren't as strong as the Ag and food margins but still will be good margins for us.
John Orr: I think also, just one other point, this is John. We continue on our quest to introduce more and more new products and we have new products being introduced - will introduce over 40 this year, good size or good portion of those are in the Material Handling side of the business. And so we expect to also get some help from the sales side from those new products as well.
Chris Manuel: Okay. Do you think that would be enough to offset kind of the process over the next 12 months, the new products you’ve come in?
Gregg Branning: Yes this is Gregg again Chris. I would say the new products will certainly help, I think the issue was in Material Handling, when you look at it for a full year this year. The new products will help to mitigate it, it might not necessarily cover from a topline perspective, but I think given the quarter we just experienced, some of the pricing actions, the new products et cetera, will allow us to help make up the margin dollars and get us where we need to be as John said for the full year, we expect to be up over last year.
Chris Manuel: That's helpful. If I can switch gear, one more question in Material Handling sector. Can you give us a sense of where you’re today with - I think there were couple of million dollars in synergy realization, where do you along that path, have you identified anything incremental to that? How is that performing thus far vis-a-vis plans?
Mike Valentino: Sure Chris, this is Mike Valentino. As John mentioned, we’re very pleased with the results of Scepter in the first quarter. They had a strong quarter, we expect that, that will continue throughout the balance of the year. The results that we saw on the first quarter didn’t account for any of the new products that we’re going to be introducing later this year so we’re very comfortable with that. And as we mentioned earlier, some of the comments that Gregg and John made, we’re performing ahead of the acquisition estimates that we had put in place relative to the synergy that we talked about around the $2 million we're on target with that. We’re comfortable with what we’re seeing and we’re expecting a strong performance from the Scepter team through the rest of 2015 and as we go forward.
Gregg Branning: Chris, this is Gregg. I would also add that as Mike said, the integration is going very well, we’re also working closely with the Scepter team and our existing businesses to pursue cross-selling opportunities and we’re encouraged by their team work, we’ve actually done some work in the marine side, that will see some benefits and that’s all over and above the $2 million in cost savings.
Chris Manuel: Okay that’s helpful. If we can switch gears a second to distribution, it sounds like profitability is kind of being flat or even off a bit that maybe a bit surprising given looking fuel cost come down, now starting to improve again and you’ve taken some actions and I thought - it sounded like volumes were up a bit and the business you directed in Canada, I think you said in the past more than profitable anyway. So kind of help us with the path there, should that begin to trend back above 9% margin on the annual basis towards 9 to 10 or may be some other factors that kind of have often freight, logistics et cetera kind of Scepter.
Alex Williamson: Chris this is Alex Williamson. You're right. In terms of the first quarter really was impacted by the mix issue between supplies and equipment and we saw a surge in equipment sales which tend to be on lower margins sales force. Looking forward, when we look at the underlying margins of the business we're seeing improvement, we're confident that we’re on the right path, and as we look at towards the end of the year, our year-end target we would expect an even towards 10%.
Chris Manuel: Okay. That's helpful. A question John, kind of a big picture if we take a step back over the last 12 to 24 months, there is quite a bit of alignment within the portfolio as in the lease businesses you wanted, not wanted and kind of moving stuff in and out I guess. As you sit today, the balance sheets still in, good shape, I appreciate that there are some businesses that are maybe a little bit down, some are doing better than others and that's further make it to portfolio. But are there areas where you’re looking at saying, we see some targeted adds, are there big legs to the business you’d like to add, more targeted adds or potentially some more deletes that you’re looking at? How do you think about the portfolio as it sits today?
John Orr: Chris, this is John. I think as we sit today, we’re pretty comfortable with where we’re at. The businesses that we have are all good businesses like you said some little better than others. We’re working on all the activities around making all of these businesses better. We don't have anything on the horizon. At this point as I said earlier to a previous question, we continue to take a balanced approach to capital allocation, we want to make sure that we continue to pay down our debt, get our balance sheet into position if something would make sense and our Board approves that, then we would obviously take a look at it. I think at this point in time, it’s - we’re in pretty decent shape, we've got some headwinds, we have some challenges, we're very pleased with Scepter and Scepter's performance, if obviously we found another Scepter, I think that would be something that the board would and management would have to consider. But right now Chris, I think we keep our powder dry and we move forward and improve all of our businesses, so we can obviously create a better return for our shareholders.
Chris Manuel: Thanks you much, good luck.
Operator: Thank you. Our next question comes from the line of Christopher Butler with Sidoti. Please go ahead with your questions.
Christopher Butler: Hi, good morning everyone. Looking at your SG&A and adjusted for the professional cost, you are up about $4 million year-over-year, could you walk us through how much is that Scepter, how much benefit of cost containment might be in that number and other factors that may be pushing that up?
Gregg Branning: Yes Chris, this is Gregg Branning. The increase, Scepter's increase was more than the number you referenced, I think you said around $4 million after you do the back out for one time. They were slightly north of that, so we had cost containment that took it down as well. We don't want to give any specifics on Scepter numbers given their part of the segment but they did - they were the primary adds once you back out the one times.
Christopher Butler: And as we think through the rest of the year, can you quantify for us what the - your cost containment is going to achieve, or do you think it could be able to get through this year?
Gregg Branning: Again this is Gregg, I don’t know that we want to give an exact number again on the cost containment, what I’ll tell you is that for the full year we expect our margins to continue to approach the 30% which is what we historically set as our goal. And those cost containments will help us achieve better year-over-year results at income from continuing operations.
Christopher Butler: Can we expect any increase in overhead costs due to the increased controls in Brazil or anything than that?
Gregg Branning: Nothing substantially. We’re able to do that, the investigation is behind us, those are some of the one-time costs that we spoke of, the key there is - we’re making some changes with the finance personnel and beefing up their team but I don't – don't expect us to see any significant overhead cost increase there.
Christopher Butler: And as we think of the stronger U.S. dollar obviously, there is some translation coming out of South America but any change to your competitive environment because of that?
Gregg Branning: Again this is Gregg, no change from our competitive environment. We did see a couple of million dollars impact of translation and effects out of Canada and Brazil but no change from competitive. The benefit we have for the most part where we source products and sell product is also where we source it. There has been just a small amount of headwind on some export sales but nothing that really stands out.
Christopher Butler: Thank you for your time.
Operator: Thank you. This concludes today's question-and-answer session. I would like to turn the floor back to Monica Vinay, for additional closing remarks.
Monica Vinay: Thank you. We thank all of you for your interest in Myers Industries and your time and participation today. As a reminder, a transcript of this call will be available on our website within approximately 24 hours. A replay will be immediately available via webcast or call. Details can be found on the Myers Industries' website under the Investor Relations tab. Thank you for joining us and have a great day.
Operator: Thank you. Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. And thank you for your participation.